Operator: Good afternoon and welcome to the Amtech Systems F4Q and F2012 Conference Call. (Operator instructions.) Please also note that today’s event is being recorded. I would now like to turn the conference call over to Mr. Brad Anderson, Chief Financial Officer. Sir, please go ahead.
Brad Anderson: Thank you, Jamie. Good afternoon and thank you for joining us for Amtech Systems’ F4Q and F2012 Conference Call. On the call today are JS Whang, Amtech’s Executive Chairman; Fokko Pentinga, our President and Chief Executive Officer, myself, Brad Anderson, Chief Financial Officer. After the close of trading today Amtech released its financial results for the year ending September 30, 2012. The release will be posted on the company’s website at www.amtechsystems.com. During today’s call, management will make forward-looking statements. All such forward-looking statements are based on information available to us as of this date and we assume no obligation to update any such forward-looking statements. These statements are not guarantees of future performance and actual results could differ materially from current expectations. Among the important factors which could cause actual results to differ materially from those in the forward-looking statements are changes in the technologies used by our customers and competitors, change in volatility in the demand for our products, the effect of changing worldwide economic and political conditions on government-funded solar initiatives, capital expenditures, production levels including those in Europe and Asia, the effect of overall market conditions including the equity and credit markets, and market acceptance risks. Other risk factors are detailed in our SEC filings including our Forms 10(k) and 10(q). JS Whang, our Executive Chairman, will start our discussion today. Fokko Pendtinga, our President and Chief Executive Officer, will update you on current operations and discuss the progress in our technology and product development roadmap. I will then discuss F4Q and full-year financial results. So I’ll now turn the call over to JS Whang, our Executive Chairman, to begin the discussion.
JS Whang: Thank you, Brad. We really appreciate you joining us today as we present our F4Q and F2012 results. We will discuss current business conditions, our thoughts about next year and Amtech Systems’ opportunities for the longer term. During this challenging time for solar, out entire organization has remained focused on important ongoing objectives which include our customers’ current and longer-term technology needs, cost management and the interest of our shareholders. These are our priorities whether we are operating in a market up cycle, delivering record earnings; or during the tough market down cycle such as we are experiencing now. As you are all aware, the solar industry remains under pressure even as supply/demand imbalance, trade war and (inaudible0 concerns, and macroeconomic uncertainty. However, for the longer term there is a strong worldwide interest in renewable energies with solar being a proven, cost-effective source of energy which will be an important part of the global energy mix moving forward. I want to emphasize that we believe Amtech is a premier provider of technology solutions to our industry-leading customers. We are well positioned to build upon what we have accomplished while managing through the current challenging business environment. Our primary objective is to leverage our strength; continue to invest in technology to fortify our position in the marketplace; fully capitalize on our market leadership position in the next buying cycle; deliver profitable growth and enhanced share value over time. For now, we remain focused on our core technologies and organic opportunities. Over the longer term we look to invest in adjacent technologies to further diversify our product and [digital] portfolio, expanding the size of the market we serve and further enhance our value to our shareholders and stakeholders. I will now turn the call over to our CEO, Fokko Pentinga. Fokko?
Fokko Pentinga: Thank you, JS, and I too would like to thank you all for joining this call today. As JS mentioned, F2012 was a tough operating environment affecting the entire solar value chain. As the market weakened we aggressively reviewed the total organization and continuously adjusted our costs to best align with full backend demand. Good cost management is our culture during good times and in the more challenging operating environments. It was always the backbone of our research and development groups, and manufacturing and technical support teams as well; and we are confident that we are very well positioned to service our customers today and respond without issue at the point of the market’s pent-up demand. In F2012, we made significant progress with respect to advancing our technology through innovation and calibration (inaudible). When we introduced our ion implant system and new [dual-side etch PECVD] in Shanghai this May, we saw a very high level of interest. Based on our ongoing conversation with current and prospective customers we know interest remains high for these next-cycle solutions. In fact, we have been working on a joint development project with our ion implanter that has allowed us to make significant progress in process development and perform wafer demos for potential key customers. And although [tepital] equipment spending is very limited across the industry today, what is [critical] to the industry is that our research and development capabilities are leading edge. And the ongoing collaborations with our industry-leading customers furthers our ability to stay on top of bringing new technologies to the marketplace. I’m very proud of what we’ve accomplished over the last year, specifically product development. Importantly we continued to invest in research and development, including continued development of advanced [P and end-type] cell technology and improved efficiencies in [cost management]. Although interest in our new technologies is high, visibility of improved demand is very limited. At this time we are expecting F2013 to be an (inaudible) difficult year with only selective investment expenditures. We will continue to collaborate with our customers to make incremental technology improvements now and to bring new technology solutions to them as the solar market and capital spending environment improves. We share the same belief as our customers that the next-generation technology solutions are compelling investments for the future and core to long-term differentiation and profitable growth. Our relationships with our core customers are strong. They are keeping the conversations going with respect to the next buying cycle and their priorities. We advance our technologies today and will continue to do so as we move towards that future time when demand returns to the marketplace. I will now turn the call over to Brad to discuss the quarterly financial results. Brad?
Brad Anderson: Thank you, Fokko. Let’s review our F4Q results. Net revenue for F4Q 2012 was $10.9 million, down 55% sequentially from $24.3 million in the preceding quarter and down 82% from almost $60 million in F4Q 2011. The sequential change reflects the continued unfavorable market conditions within the solar industry. Full customer orders in F4Q 2012 were $5.7 million, $2.1 million of which were solar, down from total orders of $6.1 million in F3Q. At September 30, 2012, our total order backlog was $18.7 million compared to total backlog of $35.6 million at June 30, 2012. Total backlog at September 30, 2012, includes solar backlog of $13.8 million compared to solar backlog of $26.1 million at June 30, 2012. Foreign exchange caused an $800,000 increase in backlog in the September quarter. Our backlog includes deferred revenue and customer orders that are expected to ship within the next twelve months. The reduction of backlog during F4Q reflects our estimate that certain customer orders will not be delivered within the next 12 months. In F2012, $5.7 million of customer orders were cancelled. These orders were not shipped and were not in our June 30, 2012, reported backlog as were previously expected to ship beyond twelve months. Gross margin in F4Q 2012 was negative 63%, reflecting $9.2 million of inventory write downs and losses on firm purchase commitments compared to a 20% gross margin in the prior quarter and 34% in F4Q 2011. Excluding these charges our gross margin in F4Q was 21%. Selling, general and administrative expenses in F4Q 2012 were $4.4 million compared to $6.4 million in the preceding quarter, a 32% reduction. The decrease in SG&A expense was primarily due to lower commissions and shipping costs related to lower revenues and also reflects company-wide cost control initiatives. Research and development expense was $3.9 million in F4Q compared to $3.7 million in the preceding quarter, primarily reflecting continued investment in our solar ion implant project along with other ongoing solar R&D projects. We recorded a goodwill impairment charge in F4Q of $4.7 million due primarily to the current demand/supply imbalance in the solar equipment market, the expectation that the market downturn will continue in 2013 and the decline in the market value of shares of solar companies. Depreciation and amortization in F4Q 2012 was $600,000 compared to $700,000 in F3Q 2012. Included in F4Q 2012 results is $422,000 of stock option expense compared to $372,000 in F4Q a year ago and $438,000 in F3Q 2012. The income tax benefit in F4Q 2012 was $3.7 million, resulting in an effective tax rate of approximately 18%. The effective tax rate is lower than the US tax rate of 34% due primarily to our inability to currently recognize for tax purposes the losses at the [Kingstone] operations in China and the lower statutory rate of 25% applicable to losses incurred in our Dutch operations. Net loss for F4Q 2012 was $14.1 million, or $1.49 per share. Included in there is $1.22 per share of non-cash charges for impairment, inventory write downs and loss on firm purchase commitments. Net loss was $3 million or $0.31 per share the preceding quarter and net income was $3.1 million or $0.31 per share in F4Q 2011. Solar revenue by geographic region for F4Q was in the Asia-Pacific region at 28%, Europe at 24%, and North America at 48%. Our previously announced cost reduction plans are essentially complete, including substantial reductions in our solar headcount and corporate costs. We have eliminated nonessential research and development costs and expect our R&D costs in F2013 to be substantially less than F2012 as we transition many of our key projects into production. Further cost reduction plans are in process and are closely tied with the extended downturn. We are focused on managing our cash while continuing to maintain premier customer service including the continued investment in next-generation technology solutions for the solar industry. We anticipate that the current challenges in the solar market combined with our continued investment in key products and technologies will cause our cash levels to decrease during F2013, but to levels we believe are manageable beyond F2013. Now I’ll highlight some full-year results. F2012 net revenue was $81.5 million compared to F2011’s net revenue of $246.7 million. The revenue decrease reflects lower demand in the solar and LED industry partially offset by increased demand from the semiconductor market. Gross margin was 11% in F2012 compared to 37% in F2011. Gross margin was negatively impacted in F2012 due to the slowdown in the solar industry as well as a write down of inventory and loss of firm purchase commitments totaling $12.8 million. For the full year, SG&A expenses were $23.1 million or 28% of revenue as compared to $43.7 million or 18% of revenue for F2011. Our net loss for the full year was $23 million or $2.43 per share, which includes $1.58 per share of non-cash charges for impairment, inventory write downs, and loss on firm purchase commitments. F2011 net income was $22.9 million, or $2.34 per diluted share. We continue to maintain a solid financial position with essentially no debt and total unrestricted cash and cash equivalents of $46.7 million compared to $42.3 million at June 30. The increase in cash was primarily due to strong receivable collections and other working capital efforts. At September 30, 2012, we had working capital of approximately $60.2 million. We continue to manage our operations to maintain our solid financial position. We are focused on reducing our purchase commitments and managing inventory to appropriate levels. Over the course of F2012 we have reduced our purchase commitments by approximately $35 million. The supply and demand imbalance in solar cells and modules continues to impact the entire solar supply chain and is expected to continue in F2013. Therefore, the company will not be providing quarterly or annual guidance until there is better visibility regarding forward demand. This concludes the prepared remarks section of our conference call. Operator, will you please open the call to questions?
Operator: At this time we’ll begin the question-and-answer session. (Operator instructions.) Our first question comes from Jeff Osborne with Stifel Nicolaus. Please go ahead with your question.
Jeff Osborne – Stifel Nicolaus: Great, thanks guys. Just a few quick ones here. Brad, you mentioned some further cost-cutting initiatives. Is there any way you can kind of quantify that on a sequential basis or how we should think about timing and magnitude?
Brad Anderson: Well, as we mentioned in the prepared remarks, the cost-cutting measures that we announced back in August that we said was annualized $6 million to $7 million reduction in costs – essentially that is complete. We should see the benefit of that going forward in this quarter and the quarters throughout F2013. Additional cost-cutting efforts are not to that magnitude because this was a significant cut that we did in August but it’s incremental to that amount.
Jeff Osborne – Stifel Nicolaus: Gotcha, okay. And then maybe for Fokko, if you can talk about the ion implant development, and I think there was some debate about the cost and the cash usage about building a second or third prototype. I forget what number you’re on, but if you can give us an update just on the interest within China, which I imagine is pretty low; but more importantly the potential opportunity outside of China.
Fokko Pentinga: Hi Jeff. Well, let me first do the last one. Yes, there is interest both inside and outside China. It is not that the interest in China is less than outside but we are really, really glad that there is also a good interest outside of China which in the beginning we had not really expected. The development is going well but it is much the process we do in the ion implant – if you make such a major change in the technology you’re required to look at all steps [in the cell]. And that is where at this moment most of the work is being done, to have a complete cell with all the changes that are needed once you go and use the ion implant, and we really see good progress. But of course we put our target high so that means we have not reached the final goal, but development is going well and continues to improve.
Jeff Osborne – Stifel Nicolaus: I understand, and it’s good to hear as well the interest from both geographies there. And just a last one from me, on a non-solar piece – recognizing that solar is clearly a challenged structurally industry now – but as it relates to your electronics business, what are you seeing from that side? You had an emerging kind of LED exposure as well, any comments on that and how we should think about that heading into Chinese New Year in F1Q and things like that?
Fokko Pentinga: Well first the electronics, we had a really good year in F2012 for the semiconductor side. The semiconductor is also not really booming and some of our customers may not necessarily have the same investment plans for F2013, at least not in the first half of it as they had last year so we’ll also be a little bit less than before. LED continues to be also a challenge over these last years. It was somewhat similar to the solar so that is also an area where in F1Q we’ll still be relatively weak.
Jeff Osborne – Stifel Nicolaus: I understand, thanks much for the detail and good luck.
Brad Anderson: Thank you, Jeff.
Operator: Our next question comes from Mark Miller from Noble Financial. Please go ahead with your question.
Mark Miller – Noble Financial Capital Markets: In terms of your inventory and your goodwill charges, are we done with that for the foreseeable future?
Brad Anderson: We always like to be done with it. I think we try to be fairly conservative in our estimates so as long as F2013 kind of plays out it’s going to be a difficult year and I think we anticipated that in our analysis.
Mark Miller – Noble Financial Capital Markets: So [for non-controllable interest] you had a significant improvement there and I’m just wondering, in fact over the last two quarters. Do you see that continuing and can you give us any color about that?
Brad Anderson: Which interest, Mark?
Mark Miller – Noble Financial Capital Markets: The 2.25, it’s a net change I guess because it’s subtracted from income or from non-controllable interest.
Brad Anderson: What that relates to is we own 55% of Kingstone, which is essentially the development company in Shanghai that’s developing and producing the ion implanter. But for accounting purposes we consolidate 100% and we back out their 45% of it. And it happened to be that they’re generating losses right now so as the losses are backed out of Amtech’s losses, so that’s a little counterintuitive when you look at the financials, the income statement. But generally if there’s more losses at Kingstone you’re going to see that go up as far as eliminating their portion of the losses from Amtech’s. Net-net we pick up 55% of the losses from Kingstone.
Mark Miller – Noble Financial Capital Markets: Do you feel that there are increases or decreases next year per quarter?
Brad Anderson: Well we expect R&D overall to be substantially lower so we’d expect that to be lower also.
Mark Miller – Noble Financial Capital Markets: Any guidance on the tax rate for next year? Is it going to stay at around 18% to 20%?
Brad Anderson: It’s difficult to predict because it depends exactly on income or losses and which jurisdictions. Currently because Kingstone has been really a start-up company it has not generated profits yet. Obviously we expect that at some point in time but those losses right now we receive no benefit for, and I think that will continue in F2013. Therefore for an effective tax rate it’s going to be difficult, and the closer you get to where you’re at for a break-even standpoint the more pronounced are some of the items that are not deductible for tax purposes. So it could swing quite a bit either way.
Mark Miller – Noble Financial Capital Markets: And finally I believe [Innovac] is also trying to market at a similar stage as you are for ion implanters. I’m just wondering about competition from them or anybody else in that area, what you’re seeing.
Fokko Pentinga: Well there is of course one very big competitor who has been in this market for a long time and they have a strong position. The main, and the fact you mentioned that yes, they do produce an alternative form of ion implant which does not have a mass separation. Yeah, it is a competitor but I firmly believe we have a much better machine but then again, the customers will have to decide that ultimately and I do not have any results of what they do. So we only come straight on what we have and we believe we’re on the right track with this one.
Mark Miller – Noble Financial Capital Markets: And your [advantages over variant] are higher throughput or lower cost of ownership?
Fokko Pentinga: It’s a combination. The machine is of course first of all dedicated, built specifically for solar and of course the semiconductor machine that was suggested to work well with solar was not really designed as a solar ion implanter. So I think that we have at this moment an advantage, and secondly our cost of manufacturing in China still is quality and technology which is very much to our standards. We know in the United States and Europe we still have a lower cost, so there’s an advantage; and having been built and designed as a solar machine the throughput is higher than existing competitive machines with the same mass separation. So there I believe both in cost of ownership and throughput at this moment we have some advantage, but then again, we need the market to get better to be able to really prove that in volume production.
Mark Miller – Noble Financial Capital Markets: Thank you.
Brad Anderson: Thanks, Mark.
Operator: Our next question comes from Howard Halpern from Taglich Brothers. Please go ahead with your question.
Howard Halpern – Taglich Brothers: Hi Brad. I’ll try to [pin] you down just a little bit. In terms of R&D research expense, would you guide to that t would be closer to the F2011 number than the F2012 number? Closer to $6 million than $14 million?
Brad Anderson: Well, it’s obviously going to be substantially lower because that’s what we said, so I would take that into account in analyzing that.
Howard Halpern – Taglich Brothers: Okay. And in general terms you have a large, established customer base. Is there any revenue potential from maintenance or internal projects that could help in F2013?
Fokko Pentinga: Well first of all we still have some work to do in some of the machines that still need final acceptance. And generally I have to say in Asia and particularly in China where is our largest install base, they expect service with… The meaning of the word is rather wide, and there may be some revenue that we can get out of that but for now we really aim on making sure that our customers have machines that work extremely well and so they also are able to provide the production as they go with reliable tools. So a lot of them are getting back to high volume again, you know, the [lows] are getting better and better and we fully support them on that. And yes, at some point in time we may get a little bit of revenue out of that and we’re working on that but the customer satisfaction here and helping them to get back into full production or improve a little bit of technology here and there – at this moment that’s more important than small revenue. But everywhere we can of course we will.
Howard Halpern – Taglich Brothers: And one last one, just in a macro sense, what are the keys that you’re looking to that will give you some encouragement hopefully by the end of F2013? What are you looking for out there to see?
Fokko Pentinga: Well, that’s a difficult question to answer. First and foremost what is important for us is that during this F2013 we will be successful in getting up more customers to kind of work on the entire technology. That’s an important one because new entrants in that technology are getting somebody to the high-efficiency which for us is a benchmark, and we really hope we will be able to do that during this year. And we’re also working, another important one is that we do see some of our important customers doing some further expansions although not many have been mentioned so far. But that will be a sign that some of the bigger customers expanding a bit is an important message to the market that when they believe in it and start investing, that may be a turning point again.
Howard Halpern – Taglich Brothers: Thanks, guys.
Brad Anderson: Thank you, Howard.
Operator: (Operator instructions.) And our last question comes from Gordon Johnson with Axiom Capital. Please go ahead with your question.
Gordon Johnson – Axiom Capital Management: Thanks for taking the questions, gentlemen. I’m just looking at your incremental orders, just looking at your backlog this quarter plus your backlog last quarter less revenues, and it looks like at least for the first time in a while you guys have had negative incremental orders which would suggest order cancellations. Those have been negative in the past two quarters – negative $6.0 million this quarter and negative $7.5 million last quarter. Should we expect order cancellations to continue through F2013? And I have a follow-up.
Brad Anderson: Gordon, it’s Brad. With the cancellations, our cancellations that we had were already pushed out. I think more what’s happening is some of those orders, more orders in this F4Q we pushed out beyond 12 months. Now could those at some point in time turn into cancellations? It could but at least they’re out of the backlog right now. Of course we work closely with our customers and hope at some point in time we’ll be able to turn those into shipments. As far as what can happen in the future we don’t have that much left – there’s not that much left in backlog to push out anyways. I think we did a pretty good job looking and evaluating each of our customers and the status as of September 30. So I don’t think we see that trend continuing at that level.
Gordon Johnson – Axiom Capital Management: Would it be fair to say that you’ll continue to see, I mean just over the near term given your negative comments on the overall market backdrop that we’ll continue to see some modest level of negative incremental orders for maybe another two or three quarters, or one or two quarters?
Brad Anderson: Well, the next couple of quarters will definitely be difficult. As we said overall the fiscal year is going to be difficult, so we’ll just have to see how each quarter plays out.
Gordon Johnson – Axiom Capital Management: Okay. And then looking at your book to bill ratio it’s about 0.5 right now. That’s a big improvement from F3Q 0.25. Should we expect that book to bill ratio to continue improving or should we expect it to stabilize around this level as you work through this tough period?
Brad Anderson: We haven’t given any specific guidance as to what our booking versus shipments is going to be so trying to give out a book to bill, which is basically the mathematical results of shipments versus orders would be difficult to do right now. And we’re just not giving any kind of specific guidance as to what those book to bills will be. It’s a difficult operating environment that we’re in right now.
Gordon Johnson – Axiom Capital Management: Right. And I think this question was asked but I just want to make sure I’m clear here: I’m just looking at your days sales outstanding of 150 days, which is it looks like a historical high. Is there any potential that you’ll have to write down receivables? This seems like a quite long extension of credit to your customers.
Brad Anderson: Yeah, if you look at the balance sheet the receivables are split up between two categories: billed and unbilled. The billed are at 62 days and the unbilled are at 88 days. Unbilled is really the deferred revenue that’s associated with shipments that have already been made. So it’s important I think to split those up and look at them, but I would say actually our collections have been fairly good and we evaluate customer-by-customer and look through that process, and scrutinize each of them especially at year-end as part of our review that we do all the time and the auditors are doing. So we feel pretty comfortable with the reservations that we have on our receivables, and on our number of days – 62 days which we’d like to have lower, everyone would, it’s not unreasonable I think in the current working environment that we’re in.
Gordon Johnson – Axiom Capital Management: Okay. And then lastly, what signs of I guess strength or potential the sun coming back out to shine, if you will, do you guys see with some of your customers and their order patterns? Clearly you guys are saying that things are going to be tough over the near term and that’s understandable, but is there any light at the end of the tunnel that you guys can point to maybe for the second half of F2013 or what you guys are seeing? What’s the positive I guess data point that you guys are seeing that maybe can help us see the light at the end of the tunnel here?
Fokko Pentinga: Let me first say something else. What I do believe is that more and more customers are realizing that if they, in order to come back to profitability, in order to be able to have some reasonable margins in the foreseeable future, cutting costs is not the only way to achieve that. And I think more and more do realize that if the cells are not sufficient and high-efficiency and the modules are not above 60 watts or 50 watts to 60 watts it’s very difficult to sell. So more and more do realize that they need to go to higher efficiencies, and once they really start implementing some of these higher-efficiency technologies which we believe they must and it’s also why we saw much emphasis that this R&D remains to be extremely important for this near-term future. I think that’s the moment when you will see some light. And again, some may do some expansions and that’s another sign as I said. So whether that will be during this fiscal year or is it really going to be in the later part of F2013? We’ll have to see that in an extra one or two quarters. So I cannot say that it is going to be immediately after that time but that’s all I can say about it, I think.
Gordon Johnson – Axiom Capital Management: Okay thanks, that’s helpful. Thanks a lot, gentlemen, good luck.
Brad Anderson: Thank you, Gordon.
Operator: (Operator instructions.) And we do have an additional question from Spencer Layman with Financial West. Please go ahead with your question.
Spencer Layman – Financial West: Yes, with the recent national election do you see any impact on the industry as far as the political climate in the solar industry?
Brad Anderson: From a political standpoint I’m sure the current Presidency is more favorable to renewables, including solar. So I think that should overall be a positive but we’ve got to get through some current fiscal difficulties to make that more clear.
Spencer Layman – Financial West: Alright, thank you.
Operator: And at this time we’re showing no additional questions. I’d like to turn the conference call back over to management for any closing remarks.
Brad Anderson: Thank you for your time today and for your interest in Amtech. I’ll be available for any additional questions you may have and welcome your follow-up calls. This concludes today’s call, thank you.
Operator: And ladies and gentlemen, we thank you for attending today’s conference. It has now concluded. You may now disconnect your telephone lines.